Operator: Good morning. Welcome to the Global-E Second Quarter 2025 Earnings Conference Call. This call is being simultaneously webcast on the company's website in the Investor Relations section under News & Events. For opening remarks and introduction, I will now turn the call over to Alan Katz, Investor Relations. Please go ahead.
Alan Katz: Thank you, and good morning, everyone. With me on the call today are Amir Schlachet, Co-Founder and Chief Executive Officer; Ofer Koren, Chief Financial Officer; and Nir Debbi, Co-Founder and President. Amir will begin with a review of the business results for the second quarter of 2025. Ofer will then review the financial results for the second quarter, followed by the company's outlook for the third quarter and full year 2025. We'll then open the call for questions. Certain statements we make today may constitute forward-looking statements and information within the meaning of the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. All statements other than statements of historical fact, including and without limitation to statements regarding our future results of operations and financial position, growth strategy and plan, and objectives of management for future operations, including onboarding new merchants, expanding our offerings and introducing and integrating new solutions are forward-looking statements. These forward-looking statements reflect our current views with respect to future events and are not a guarantee of future performance or outlook. Actual outcomes may differ materially from the information contained in the forward-looking statements as a result of a number of factors, including those set forth from the section titled Risk Factors in our annual report on Form 20-F filed with the SEC on March 27, 2025, and other documents filed with or furnished to the SEC. These statements reflect management's current expectations regarding future events and operating performance and speak only as of the date of this call. You should not put undue reliance on any forward-looking statements. Except as required by applicable law, we undertake no obligation to update or revise publicly any forward-looking statements, whether as a result of new information, future events or otherwise, after the date on which statements are made or to reflect the occurrence of unanticipated events. Please refer to our press release issued today, August 13, 2025, for additional information. In addition, certain metrics we will discuss today are non-GAAP metrics. The presentation of this information is not intended to be considered in isolation from or as a substitute for or superior to the financial information prepared and presented in accordance with GAAP. We will use these non-GAAP financial measures for financial and operational decision-making and as a means to evaluate period-to-period comparisons. We believe that these measures provide useful information about operating results, enhance the overall understanding of past financial performance and future prospects and allow for greater transparency with respect to key metrics used by management in its financial and operational decision-making. For more information on these non-GAAP financial measures, please see the reconciliation tables provided in our press release issued today. Throughout this call, we provide a number of key performance indicators used by our management and often used by competitors in our industry. These and other key performance indicators are discussed in more detail in our press release issued today. I will now turn the call over to Amir, Co-Founder and CEO. Amir, please go ahead.
Amir Schlachet: Thanks, Alan. I would like to start by welcoming everyone to our second quarterly earnings call of 2025. We achieved another quarter of strong results coming in above the high end of our GMV and revenue guidance ranges and at the top end of our EBITDA guidance range. We are proud of the entire Global-E team for their continued great execution throughout the quarter, which enabled these strong results. While we continue to see some uncertainty around duty tariffs and their potential adverse impact on global trade in the back half of the year, we nevertheless believe that our strong GMV and top line growth to date, together with our raised guidance for the year, demonstrate the resilience of our business model and the great value that merchants see in our services. We finished Q2 with GMV of $1.45 billion, up 34% year-over-year, and with revenues of almost $215 million, up 28% year-over- year. In terms of profit, our adjusted gross profit for Q2 was just shy of $100 million, up 24% from last year. And quarterly adjusted EBITDA was $38.5 million, up 23% compared to the same quarter last year, resulting in a 17.9% margin. In terms of our financial performance, I also want to highlight that this quarter, we achieved another important milestone in our journey as a company, that of sustainable GAAP profitability with the net profit in the quarter coming in at $10.5 million compared to a net loss of $22.4 million in the same quarter of last year. The amortization of the majority of the Shopify warrants is now done, with the rest expected to be fully amortized by early 2026. As such, we expect to be GAAP profitable moving forward in subsequent quarters, and for 2025 to be our first full year of GAAP profitability, a testament to the strength and durability of our business model as well as our relentless focus on execution and operational efficiency. Looking at the broader business performance metrics. We have seen the positive trend, trading patterns from Q2 continued through the beginning of Q3 to date. While there is some level of uncertainty for the back half of the year given the expected upcoming changes to the U.S. de minimis exemption later in the month, we anticipate it will not have a major impact on our trading volumes. This is based on the trading patterns we have seen in the last month -- last few months during tariff changes, the limited impact of the suspension of the de minimis exception for products with country of origin in China and Hong Kong that already took place this May, and our 3 B2C mitigation, which is available for merchants trading large volumes into the U.S. In terms of our business growth, during Q2, we continued to see strong growth across many geographies and cohorts of merchants. As always, our growth was underpinned by our focus on bringing strategic solutions to an increasingly complex and fast-changing global e-commerce environment. Serving as a recent example, Global-E merchants trading to and from the U.S. enjoying valuable peace of mind. They noted irrespective of how frequently tariffs and trading retentions are updated. Global-E not only makes sure they remain 100% up-to-date and compliant, but also helps them to navigate complex business decisions, lowering as much as possible the impact of these tariff changes on their sales. Moreover, in the face of higher tariffs, either due to the upcoming change to the de minimis exception or other tariffs, our 3 B2C solution and the ability to provide duty drawback further increase the attractiveness of our solution. We are seeing these result in increased interest within our new merchant pipeline and within our conversations with existing brands. Before we move on to our Q2 results and forward guidance in more detail, I would first like to go through a few recent exciting business developments. First, we extended our long-term strategic partnership with DHL, entering into an additional 3-year agreement. This is our second renewal with DHL since our IPO, and our partnership with them remains very strong and fruitful. This new agreement enables us to provide excellent service to merchants and shoppers alike, while creating value for both Global-E and DHL. Second, as we announced 2 weeks ago, we acquired ReturnGo, a leading provider of AI-enabled return and exchange solutions. This acquisition is designed to elevate our native post-purchase solutions for our merchants. In parallel to our partnership with industry leader -- leading return solutions such as Loop. As we integrate ReturnGo's advanced technology for automating returns, exchanges and other post-purchase flows into our tech stack, we believe this will enable Global-E merchants to provide more flexible, best-in- class return experiences to their customers worldwide. ReturnGo is the third acquisition that we have made since our IPO and is an exciting addition to our offering. Third, I wanted to provide an update on our 3 B2C offering. As discussed on the last call, we developed this innovative new offering in record time. to enable global brands to leverage their international footprint in order to partially offset costs due to rising tariffs. Given the addition of recent changes to tariffs, and most notably, the suspension of the de minimis exception, we have seen growing traction for this offering with interest from both existing and new merchants worldwide. I also wanted to quickly note that we remain on track in terms of updating our managed market solution, working in close collaboration with our partners at Shopify, according to our joint plan. Lastly, an update on Borderfree.com, our demand generation platform. We continue to onboard new merchants on to Borderfree.com in Q2, and now have more than 250 merchants using this platform. We continue to see encouraging results with an increase in the contribution of sales from merchants utilizing Borderfree.com in Q2, reaching over 4% of sales that originated from this channel. In terms of enterprise sales progress in the quarter, we experienced continued strong demand for our services across different markets as a large number of brands went live with Global-E during Q2. A few notable examples of brands that launched with us in Q2 are SteelSeries, a gaming consumer technology company, and GANNI, a well-respected fashion brand, both from Denmark. JAKI, a fashion brand from the U.K. known for its beautiful -- beautifully curated affordable collections, and the U.K. beauty retailer, Escentual. StadiumGoods, one of the premier global resellers of sneakers and streetwear out of the U.S. that also has its own in-hour apparel line. Bandai Namco, a Japanese gaming and media conglomerate with whom we launched in EMEA in Q2. Nanushka a fashion brand, which is our first merchant based out of Hungary. Almada Label, a rising star in luxury fashion out of Finland. SKYLRK, the new fashion brand from Justin and Hailey Bieber, which we launched within one week of engagement. And lastly, Life360, an exciting consumer tech merchant and our first subscription brand. We also expanded with a number of current merchants entering into new geographies. For example, with Vuori, we added multiple countries in Europe as well as Australia and Japan. We launched in Hong Kong with Bang & Olfson, Onitsuka Tiger and Diesel. We added Central and Eastern Europe for Jones Road Beauty, the fast-growing makeup brand, and Bennett Winch, the luxury luggage brand used our services to enter into Taiwan. With the traction we are seeing in the business and the pipeline, the launch of new brands and expansions with existing ones across our various geographies, we believe we are well positioned to continue on our path towards our long-term targets of continued, durable and profitable growth well into the future. I will now hand it over to Ofer to take us through the quarterly numbers in more depth as well as our increased 2025 guidance and Q3 outlook.
Ofer Koren: Thank you, Amir, and thanks, everyone, for joining us today for our earnings call. As Amir mentioned, Q2 was another strong quarter for Global-E. We continue to deliver results well above the Rule of 40, driven by the growth of volumes processed through our platform and healthy margins. Before I go into the details of the quarter, I'd like to remind everyone again that in addition to our GAAP results, I'll also be discussing certain non-GAAP results. Our GAAP financial results, along with the reconciliation between GAAP and non-GAAP results can be found in our earnings release issued today. GMV in Q2 was $1.454 billion, up 34% year-over-year, 3.3% above the midpoint of our range for Q2. Despite the continuous high level of uncertainty, mainly due to the tariff dynamics, trading volumes remained resilient in the second quarter. We continue to see solid trade volume through the first weeks of Q3, and as Amir discussed, a more complicated environment in this regard tends to lead to increased opportunities for us. In Q2, we generated total revenue of $214.9 million, up 28% year-over-year, 3.6% above the midpoint of our guidance range. Service fee revenue for the quarter were $102.9 million, and fulfillment services revenue for the quarter were $112 million. Service fee take rate increased compared to Q1 2025, mainly due to a positive mix, while fulfillment take rate decreased as expected mainly due to seasonal higher average order value and the partial planned shift of volumes to multi-local. Progressing through the income statement. Non-GAAP gross profit was $99.9 million, up 34% (sic) [24%] year-over-year, representing a gross margin of 46.5% compared to 47.8% in the same period last year. Gross margin has expanded compared to Q1 2025 due to the higher share of service fee revenue in the mix. GAAP gross profit was $97.7 million, representing a margin of 45.5%. Moving on to operational expenses. We continue to invest in the development of our platform to further enhance our offerings and add value to the merchants. R&D expense in Q2, excluding stock-based compensation, was $26.2 million or 12.2% of revenue compared to $21.2 million or 12.6% in the same period last year. Total R&D spend in Q2 was $30.7 million. We are investing for growth within our sales and marketing spend, while at the same time, remaining focused on driving efficiency throughout the organization. As such, sales and marketing expense, excluding Shopify- related amortization expenses, stock-based compensation and acquisition-related intangible amortization was $27.2 million or 12.7% of revenue compared to $19 million or 11.3% of revenue in the same period last year. Shopify warrants related amortization expense was $12.9 million in the quarter, down from $37.4 million in Q2 2024. As a reminder, we expect this expense to continue to decrease for the remainder of the year and to be completely gone at the beginning of 2026. Total sales and marketing expenses for the quarter were $44 million, down from over $60 million last year. General and administrative expenses, excluding stock-based compensation, were $8.8 million or 4.1% of revenue compared to $9.4 million or 5.6% of revenue in Q2 of last year. The year-on-year decline was primarily due to one-off costs recorded in Q2 of the previous year, as well as improved operational efficiencies. Total G&A spend in the quarter was $12.5 million. Adjusted EBITDA was $38.5 million, up 23% from Q2 2024 and 4.1% above the midpoint of our guidance range. Adjusted EBITDA margin was 17.9% versus an 18.7% margin in Q2 2024, impacted by the lower gross margin. In Q2, we turned GAAP profitable. The net profit in the quarter was $10.5 million compared to a net loss of $22.4 million in the year ago period. The net profit was driven mainly by the reduced amortization expenses related to the Shopify warrants as well as from the growth of the business. As Amir mentioned, given the amortization of the majority of the Shopify warrants-related asset is now done with the rest expected to be fully amortized by early 2026, we expect to be GAAP profitable moving forward and for the full year of 2025. Moving on to the balance sheet and cash flow statements. We ended the quarter with $516 million in cash and cash equivalents, including short-term deposits and marketable securities. Q2 was a strong quarter of cash generation with free cash flow of $63.5 million in the quarter. Now let's go through the Q3 and the updated full year guidance. For Q3 2025, we're expecting GMV to be in the range of $1.455 billion to $1.495 billion. At the midpoint of the range, this represents a growth rate of 30% versus Q3 of 2024. We expect Q3 revenue to be in the range of $214 million to $221 million, representing a year-over-year growth rate of 24% at the midpoint. For adjusted EBITDA, we are expecting a profit in the range of $37.5 million to $41.5 million or a margin of 18.2% in the midpoint. For the full year of 2025, we anticipate GMV to be in the range of $6.22 billion to $6.52 billion, representing a 31% annual growth rate at the midpoint of the range. Revenue is expected to be in the range of $921.5 million to $971.5 million, representing a growth rate of 26% at the midpoint of the range. For adjusted EBITDA, we're expecting a profit of $180 million to $200 million. As Amir mentioned, we are very excited about the acquisition of ReturnGo, which we believe will enable us to elevate our post- purchase solutions experience and functionality. We expect the deal to have a slight positive contribution to revenue and a limited negative impact on adjusted EBITDA in 2025. However, we expect the impact on profit to be close to neutral by 2026, once we are able to realize all the planned cost synergies. To summarize, as the results we present to you today reflect, we remain on track on our growth trajectory as per our long-term targets. We believe the current environment represents exciting opportunities for Global-E to add value and continue growing. Given the increasingly complicated global e-commerce environment, our services are becoming more integral to merchants every day. The market opportunity in front of us remains massive, and we continue on our path to support merchants worldwide in expanding their direct-to-consumer business. And with that, Amir, Nir, Alan and I, are happy to answer questions you may have. Operator?
Operator: [Operator Instructions] With that, our first question comes from the line of Will Nance with Goldman Sachs.
William Alfred Nance: I wanted to maybe ask about a couple of your comments around the de minimis exemption and your expectations around that in the back half of the year. I take some of the comments that you guys are not expecting a significant impact. So maybe if you could just talk a little bit about some of the ins and outs of your expectations in the back half of the year. And I guess I'll just ask, like, are you seeing the removal of the de minimis and the continued trade uncertainty? Has that driven any upside to the back half of the year? And is that maybe offsetting any kind of headwinds associated with some of the changes?
Amir Schlachet: Yes. I wouldn't -- I don't know -- first of all, its Amir, thank you for the question. I'm not sure I would consider it as a tailwind. But definitely, as we commented, the trading looks resilient. We're already past few months of trading post the recent changes to de minimus exemption. And as we said, we haven't seen any material impact. The same-store sales are within the multiyear trend. Yes, there is still some uncertainty. We're faced and our merchants are faced with an ever-changing landscape. And we do believe that the end of August, the change that is coming will happen -- the de minimus exemption, but we took all of that into consideration when we provided the guidance. So despite all of that uncertainty, we did see trade deals coming in. So we believe that generally speaking, the risk of more tariffs, so reciprocal tariffs has been reduced. And it's also -- it's important to remember that when you look at the inbound volumes that we have into the U.S., which is about 12% of the trade, about 1/3 of that is coming from country of origin, China and Hong Kong. So the remainder will have some impact on when the de minimis is removed for the rest of the country. But again, we don't expect -- we do expect to see an offset of that in terms of the pricing of the product. And overall, we don't expect a meaningful impact on our trade volumes.
William Alfred Nance: Got it. Super helpful. And maybe just a housekeeping item here on the acquisition. Is there any way you could lay out what the expectation or what's assumed in the back half of the year guide on the top line? And then similarly, on the OpEx side, I think you mentioned investing in sales and marketing this quarter, should we take that as sort of your direct sales force? Or is that continued strength in Shopify and just how you're thinking about OpEx trends in sales and marketing in the back half?
Ofer Koren: Sure. So in terms of ReturnGo for 2025, it will have a slight positive impact to revenue of just over $1 million. In terms of adjusted EBITDA, it will be slightly dilutive. We expect it to have a negative impact of approximately $1 million on adjusted EBITDA. By the way, for 2026, once we achieve the expected synergies, which should be relatively simple to achieve, it should be very close to EBITDA neutral. In terms of sales and marketing, we have seen a certain increase of sales and marketing out of -- as a percentage of revenue. Some of it is attributed to the higher volumes of GMV and the rev share we pay to Shopify, which is expected to reduce in the last few months of the year. And the remaining, yes, is a certain additional investment that we will put in -- or already putting into sales and marketing a few more people.
Operator: Your next question comes from the line of Samad Samana with Jefferies.
Samad Saleem Samana: And good to see the strong quarter. Maybe first, just the 3 B2C product, you guys mentioned that there's good uptake there and especially kind of given the policy environment. How -- now that you've had customers adopted and go live with it and utilize it, what type of take rate are you seeing from that cohort of customers? And how should we think about maybe the impact to the take rate going forward as you see more adoption of 3 B2C? And then I have one follow-up question.
Nir Debbi: Samad, it's Nir. So first, we are very excited with a 3 B2C solution. We are seeing growing interest from both new and existing merchants, especially with abolishment of de minimus expected to come in end of August. We have a couple of merchants already live and trading with the solutions, and we have others that are expected to launch within the quarter and a few new ones already in the funnel. In terms of the take rate dynamics, it's kind of close to the regular dynamics that we see on the regular B2C transaction because our fees are calculated out of the consumer transaction, which is actually the same between a 3 B2C model and our regular model. There might be a minimal impact in terms of the clearance fees, but this is, I would say, miscellaneous in terms of our take rates.
Samad Saleem Samana: Great. And then maybe on the acquisition. I'm curious if that was a company that you were already partnering with? And if I look at ReturnGo's website, there's some pretty notable logos that they have that Global-E may not have. So are you -- is there an opportunity to maybe go to cross-sell or acquire their customers? And what's maybe the overlap in your base today? And how much of a cross-sell opportunity is there? Just maybe more details on what the opportunity there is, given that it's relatively small in size?
Nir Debbi: Sure. Thank you. It's Nir again. So First, we believe that this acquisition will further position us with a best-in-class solution in the market for purchase. And today, we mainly -- where our solution was built on our internal capabilities that weren't best-in-class. And now we have, I would say, an in-house solution that will be best-in-class for merchants with additional services built into it such as exchanges and more. More than that, yes, they do have within the client base certain level of clients that can be a relevant fit to become a Global-E merchant that aren't currently our merchants. And in the -- as part of the synergies, we are looking to have we will also, of course, offer these merchants to utilize the rest of Global-E services. Yet to be proven what would be the success rate on that, but this was an add-on to the rationale. The main rationale, just to be clear, was to improve post service solution and increase shopper satisfaction for all our brands.
Operator: Your next question comes from the line of James Faucette with Morgan Stanley.
James Eugene Faucette: Wanted to add on a couple of things or ask a couple of questions. First, on the back half of the year, there's pretty good implied acceleration there. It'd be great if you could provide some insight into the growth and composition of the pipeline as you see it today? And if there's been any change since Liberation Day? And in particular, do you still expect to grow net new merchant GMV on a dollar basis this year, even though you had such a strong benefit from enterprise ads last year?
Ofer Koren: James, thank you for the question. It's Ofer. I think that regarding the back half of the year, generally speaking, as we've mentioned, we see very solid trading patterns. We see solid same-store sales numbers, and we see that continuing into July and the beginning of August. So this is definitely a positive. But also on top of that, we have been adding merchants throughout the year. We don't have this year the 2 very large ones. But when you look at the overall numbers, they are very similar to what we have seen last year, just much less concentrated. So we will continue onboarding merchants until peak period. And we expect -- in terms of GMV from new merchants, we expect to see a similar contribution to last year. So pretty similar numbers. Hopefully, if it goes well, might be even above those numbers.
James Eugene Faucette: Got it. Got it. And then one -- I know you already touched on take rate, but obviously, good to see the recovery and the sequential improvement in service fee take rate. How should we think about the drivers of take rate on a go-forward basis? And I'm just wondering how to think about that on the services side as well as what kind of trajectory we should be expecting on fulfillment, especially with multi-local adoption and trying to think about that on a more medium-term basis?
Ofer Koren: Yes. So in terms of service fee take rate, as we've mentioned when we guided for the year, after the certain drop we had as a result of the loss of Ted Baker, we expected it to be more or less stable. There is some volatility between quarters due -- mainly due to mix. But our expectations still remain the same. So we expected to be close to H1 levels. Q2 was a very good quarter in that sense. But again, we had a positive mix contributing. We do see more interest and we are also gradually building more propositions around value-added services, mainly duty drawback. And we expect that going into next year, this might contribute. Still early to say, but we see, due to the changes in the tariff environment, we do see an opportunity there. So that might potentially provide us an upside opportunity, but it's a bit early to say if that will come through. Just in terms of the fulfillment take rate, we expect them to remain for the remaining of the year to be again close to Q2 levels because on the one hand, we will see a higher share of multi-local. As we commented in the beginning of the year, there are 2 or 3 large merchants that are shifting some of their volumes to multi-local, and we will see this up. Some of it has already happened and some will happen in the remaining of the year. On the other hand, Q2 is -- has some AOV seasonality. Typically a high AOV quarter, average order value, and this has been the case also in this Q2. So we expect that to have a positive impact that will offset the multi-local impact for the remaining of the year. So we expect it to stay close to the current levels.
Operator: Your next question comes from the line of Chris Zhang with UBS.
Chao Zhang: So I wanted to ask about the new arrangement with Shopify and mainly related to the 3P side. So first on the revs hare reduction, maybe can you confirm the timing of the rev share reduction on the 3P side? And how you have baked that into the EBITDA guide? Because it seems that from the implied Q4 EBITDA margin, it shows a slightly higher than typical sequential step up? And how much of that is reflecting the new agreement? And then I'll follow up on the pricing.
Ofer Koren: Chris, thank you for the question. It's Ofer. In terms of the timing, it will come in late in Q3, so there will be a limited impact in Q3 and the new arrangement will be in place, obviously, for Q4. We definitely took that into account in our guidance. As we've mentioned, I think, in the previous quarter, over time, we expect the sort of the new situation to have -- to weigh a bit on our gross margin as we do expect to see some more competition. Although, for now, I would say we haven't seen a significant change in the environment. However, the reduction in the rev share will enable us, over time. We believe that it will enable us over time to get overall improved economics and improve our adjusted EBITDA.
Chao Zhang: I think you pretty much answered the question on the prices. So maybe I'll just ask more about specific product? And just from your new agreement, there's a mention of Shop Pay to be made available on the 3P side? And maybe can you talk about your thoughts on the impact on the payments portion of the revenue in 3P? And if there's any potential for Shopify payments in general to take over a bigger responsibility on the 3P side considering the variable parts, including the conversion of Shopify payments, but also some of the potential economic changes there. Just wanted to hear your thoughts.
Nir Debbi: Great. Thank you. It's Nir. So just on the market dynamics, as we expected, we have seen some increase in the competitive landscape. However, if you take into account our high win rate on other platforms as well as our vast experience on the Shopify platform and the preferred status that we have with exclusive features and capabilities, we believe we will have even more than that on the Shopify platform. So on the competitive side, we saw quite strong with the recent changes. In terms of Shop Pay, we are expecting it to be launched sometime late Q3, early Q4, and we expect it will be heavily used and adopted by our merchants as it is used on Shopify. In terms of utilizing the Shopify payments for our services for 1P, of course, it's going to be embedded in the new model of Shopify within the managed markets. For 3P, it's not planned.
Operator: Your next question comes from the line of Scott Berg with Needham.
Scott Randolph Berg: Really nice quarter. Two questions for me. I wanted to start with some detail on the new Life360. I guess, dealing contract. Consumer tech is not necessarily new for you all, but subscription-based product seems. I don't know, a little strange to me because there's no cross-border shipping really within it. And there's no shipping charges necessarily, but how does that opportunity kind of fit into the broader Global-E portfolio here going forward?
Nir Debbi: Scott, it's Nir. Thank you for the question. We started this journey when we targeted the consumer electronics. And once we started to gain traction in the vertical, and we have today and multiple clients within the vertical, even I think Amir spoke about SteelSeries, very nice consumer electronics brands that just launched with us. We came into an evolution that also subscription was needed. We don't see a straightforward play for digital goods subscription a large opportunity for Global-E. However, we do see it supporting merchants that are selling physical goods and want a subscription on top of it, whether its plans to use as extra plans to sell on top of the physical goods or a stand-alone product that is a digital subscription good, but for merchant that sells also physical goods. So we believe this would be our sweet spot. There might be some pure players, but this is not the core for our strategy. And for those merchants that have a combination of physical, virtual and subscription, we are best positioned to take advantage of it because it does require our clearance capabilities, our know-how in duty management and physical good movements.
Scott Randolph Berg: Very helpful, Nir, appreciate that. And then from a follow-up perspective, the growth in your U.S. business has actually accelerated year-over-year, which is kind of interesting, given what's going on with all the, I think, different tariff dynamics there. Can you help understand what's maybe specifically going on with the U.S. side of your business? Maybe it's just more focus there to drive more vendors from the U.S., but any color there would be helpful.
Nir Debbi: Sure. Then the U.S. business continues to outperform. A lot of this outperformance is from very strong growth of some of the U.S. brands. Our U.S. brands, a lot of them are much more digitally native than where we see in other parts of the geos we serve. And these clients typically grow faster. So in average, they have a faster same-store sales growth, which is actually growing the U.S. even faster than other parts of the world. In terms of the new booking contribution, U.S. isn't doing better than our other developed markets. And I can say that the emerging markets are growing even faster, but their share in our overall mix is still relatively low.
Operator: And your next question comes from the line of Mark Zgutowicz with Benchmark.
Mark John Zgutowicz: Just on the Borderfree comment...
Amir Schlachet: Can you repeat. We just got cut off.
Mark John Zgutowicz: Can you hear me okay?
Amir Schlachet: Yes. Now, I can hear, sorry.
Mark John Zgutowicz: Okay. Sorry about that. I just was hoping you could comment further on the Borderfree 4% revenue contribution. And whether that was in line with your expectations or above? And then if we think about the 250 merchants that you've onboarded there, how core are they to driving that contribution level higher? And what would you expect to see in terms of total merchants exiting this year, just roughly? Just trying to get a sense of the pace of that merchant growth that we should look for?
Nir Debbi: Just to clarify, it's Nir. Thank you. Just to clarify the metrics, the 4% growth for those merchants, it's merchants that actually joins the Borderfree platform. It's not our entire base of merchants. It's those that actually adopted. The platform for them, Borderfree is equal today to 4% of the of the business, 4% of the traffic is actually -- and sales are coming out of our demand generation solution on the Borderfree.com. We are happy with the development of it. It was -- the product was launched in Q4 last year. It's just early days -- still early days for the product. When we met you all at the Investor Day, we've already seen traction with around 2.6% already coming of the traffic for the participating sites coming from Borderfree.com, we are currently over 4%. It's in line with our expectation. And over time, we expect that with maturity, we can hit over 5% and even up to 10% on average with some of the brands, or I would say, the high contribution brands, even enjoying a 2-digit contribution from our demand generation, which is a great driver for native growth as we take percent of their growth. And of course, increases the stickiness of our model as now we're not only converting better for you and simplifying your global operations, we're also driving new revenue.
Mark John Zgutowicz: That's helpful. And maybe a separate question just around NDR trends in the first half versus what is implied in your second half revenue guidance? And also, if you could perhaps qualify your same-store merchant GMV growth relative to new year-to-date and how that sort of compares to last year?
Ofer Koren: Sure. So generally speaking, there is some, of course, as always, some volatility between periods. But when we look at the year-to- date figures, they're, as we've mentioned, in line with our historical average and pretty close to the numbers we had in our planning. And this has been also continuing in the beginning of Q3. For the remaining of the year, we expect that to stay more or less in that environment. In terms of contribution from new merchants, as we've mentioned previously, we expect that contribution to be pretty close to what we have seen last year. Last year, we had a lot of contribution in the last part of the year from new merchants. This time, it's much less concentrated both in terms of timing and also the volume contribution of each merchant, but we expected the numbers to be pretty close.
Operator: And your next question comes from the line of Patrick Walravens with Citizens.
Patrick D. Walravens: Let me add my congratulations. Amir, maybe if you -- and probably Nir, too. Just stepping back, if you look at the last 5 years of your relationship with Shopify. What do you think are sort of the key lessons that you've learned?
Amir Schlachet: Well, that's -- how much time do we have?
Patrick D. Walravens: I'm probably not on the Q&A script.
Amir Schlachet: No, actually, no I think we've -- what we've learned along the years, and I think it's reflected in the fact that the relationship is continuing to grow, continuing to flourish and we continue to renew our wows every so often is that it has the, I think, all the basis for a good mutually beneficial partnership because each side brings to the table its strength and its unique contribution. So I think, to me, that is the basis of every good long-term strategic relationship, and we're seeing the benefits of that, both on our enterprise side and as you've all seen, that led to an even deeper relationship on what has now become managed markets and is -- we're -- on that, we're working ever so closely with Shopify to make it an even deeper and more synergetic integration. So to me, it's -- the main lesson is that if it makes sense then -- to both sides, then it can be a very successful, mutually beneficial partnership.
Patrick D. Walravens: Great. And then my follow-up is, what specifically is -- what are you specifically working on now with Shopify in terms of the additional functionality? And when do we expect that to come out? What are the top 2 or 3 things?
Nir Debbi: I think we should divide it between the 2 solutions. On the managed markets front, we are working on -- as we guided together with Shopify, on aligning the domestic experience to the global experience using managed markets, serving much more of the functionality through the Shopify platform, utilizing Shopify Payments and making, I would say, the entire reconciliation process seamless between the domestic and the global experience. For the 3P solution, I think the main thing coming up soon is Shop Pay, which we believe would be a great tool to continue and upgrade the conversion to our merchant, offering them even a better experience on the global partnership with Global-E on Shopify. Good to mention here that this feature is also exclusive for Global-E for the next 12 months. So it's also a good edge versus competition. As part of it also Shopify has integrated us into the new markets, into the new market solutions that allows more flexibility to our merchants, utilizing the [theme] customization, [theme] editor and other functionalities that is now available with a combination of Global-E and Shopify.
Operator: And your next question comes from the line of Brent Bracelin with Piper Sandler.
Hannah Sable Rudoff: This is an Hannah Rudoff on for Brent today. I didn't hear much about multi-local in the prepared remarks. It sounds like you are seeing some of that volume shift over to multi-local, but was there anything else to call out for the quarter? And do you still expect multi-local to hit around 15% of GMV this year?
Nir Debbi: So I think the reason we didn't give it much emphasis is that we don't see change from the dynamic we already highlighted in our guidance for the year in our Q1 results. So we continue to see gradual shift towards it in line with what we indicated around the 15% that we expected to hit it. So it's all baked into our guidance. That's why we gave it less emphasis in our discussion, but the trend continues and we continue to build services in order to support better trading within multi-local and make our service and solution more appealing to multi-local merchants.
Hannah Sable Rudoff: Got it. Makes sense. And then is ReturnGo bringing any AI capabilities or functionality that you can apply to other areas of your business?
Nir Debbi: They have some AI capabilities related to prediction models around the Return. The reasoning behind it, the ability to sell to the client instead of a refund alternative solutions such as wallets or gift card, loyalty points or an exchange. It's less relevant for outbound experience, but it is an enhancement that I'm sure that our merchants would be happy to utilize once we make it -- we complete the integration and make it our internal tool.
Operator: And your next question comes from the line of Maddie Schrage with KeyBanc Capital Markets.
Madison Taylor Schrage: My first one was just on kind of the international split. So it seems like the U.K. still kind of see some weakness. Is this expected to continue for the rest of 2025? And then I was wondering if you guys could talk about where you're seeing the greatest strength in rest of world and maybe where you see the most opportunity going into 2026?
Nir Debbi: So related to the weakness in outbound U.K., I think this is coming out of 2 reasons. One is a mix that is driven from seasonality. We have huge merchants such as Harrods that are much more, I would say, stronger in the back half of the year, mainly in Q4, and the rest of the year, they are lower. So this is a seasonality effect. The other part is M&S. M&S was -- is a significant merchant of us within the U.K. merchant base, and they are, at least in this quarter in Q2 and going also into Q3, at least for a significant part of it is currently not trading due to the cyberattack. So this contributes to the overall weakness that you do see in the U.K. We do expect it to change trends late Q3, but mainly in Q4 once M&S is trading back in full speed, Harrods is going into its peak selling, so we do expect the U.K. to grow again in share. And as we have also a good pipeline coming out of the U.K., we do expect that to continue going into 2026.
Madison Taylor Schrage: And yes, my second part of that question was just I'm curious about kind of the other geos that you guys don't necessarily break out for outbound regions. Specifically in parts of like Asia, where you're seeing the greatest inbound interest and kind of where you see the greatest opportunity to further penetrate those markets?
Nir Debbi: Yes. So I think that -- and I'll connect that also to Ofer mentioning the slight increase in sales and marketing expense. So we do see a lot of potential in APAC. So we have recruited also additional individuals into sales and account management roles within the region. We have seen very nice traction coming out of Korea. We have seen growth -- new growth in funnel coming out of Taiwan, a new region for us. Australia continues to pick up as we assume the market leadership in global commerce out of Australia and Japan continues to work as well. We mentioned Bandai Namco that launched with us out of Japan. We are expecting in Q2, we have additional growth with significant Japanese merchants coming also in Q3. So all in all, we continue to see the share of APAC growing within our pipeline. And hopefully, we will see that, within a few years, it will take its share the same as the e-commerce share that it has on a global scale within our sales chart.
Operator: Your next question comes from the line of Brian Peterson with Raymond James.
John Messina: This is John Messina on for Brian. On the land sizes and expansion versus expectations, can you maybe help frame for us what you're seeing from merchants, noticing any changes in initial land sizes or number of countries that merchants are launching with? And then also on the expansion motion with legacy merchants, has the pace of new geo expansion been tracking in line with expectations this year?
Nir Debbi: So by far, with the new GMV, most of it is new brands and new logos that are actually launching. Some of them are the launches that were signed at the back half of last year, some of them and many of them are launches that are happening now for merchants signed within this year. We do have some land and expand across some of our large merchants such as Adidas, we launched Hong Kong significant lane and a few others. But in the [Pareto], we see more contribution coming out of new logos.
John Messina: Okay. Helpful color there. And then just one quick follow-up, if I may. On the Shopify partnership, we're 90 days after the extension and changes there. Just curious what you're specifically seeing on the funnel side? I realize you called out some increased competition, but also wanted to ask on the funnel. And then on the second derivative, are you seeing any elongation and maybe launch timing there?
Nir Debbi: So as indicated previously, as expected, once Shopify remove the exclusivity in the new model and moved into a preferred model, we have seen some increase in the competitive landscape. However, as we have a robust solution that was built over the last 5 years, it has unparalleled scale, experience working with Shopify, connecting to Shopify or different APIs, some of them are exclusive APIs to us. We do see our win rates continue to be super high and a very low impact on our pipeline, especially on the enterprise side.
Operator: And our last question comes from the line of Koji Ikeda with Bank of America.
George P. McGreehan: This is George McGreehan on for Koji today. I wanted to ask just another one on Shopify progress. I know that you've been working on some Shopify managed markets enhancements this year. How has that been progressing? And how do you anticipate -- or do you anticipate you will be pushing harder with this partnership for the remainder of this year and into 2026?
Nir Debbi: Thank you. It's Nir. We are tracking according to the milestones agreed with Shopify firing on all cylinders towards launching the new solution of managed markets. It would be much more seamless for the merchant versus the domestic experience. We work very closely with the Shopify product and development team. And so far, we believe that we are, as indicated previously, in line to launch, I would say, the new solution within 2026 with a rollout plan that will be decided by Shopify according to the schedule.
Operator: And we have no further questions at this time. I would like to turn it back to the Global-E CEO and Co-Founder. Amir, please go ahead.
Amir Schlachet: Thank you. On behalf of the entire Global-E team, I would like to thank all of you for joining us today and for your ongoing support. We continue to see tremendous opportunity to add value for our merchants, drive growth and increase free cash flow. As we expand our global offerings by integrating new capabilities such as ReturnGo, or by launching homegrown offerings such as our 3 B2C solution, we see a long runway for significant innovation and growth of Global-E to support the growing needs of our merchants in an ever more complex waters of global online trade. We look forward to speaking with many of you during the quarter and updating you on our future earnings calls. Till then, goodbye and take care.
Operator: Thank you, presenters. And ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.